Operator: Good day, ladies and gentlemen, and welcome to the Ramaco Resources, Inc. Second Quarter 2018 Earnings Conference Call [Operator Instructions] I would now like to turn the conference over to Michael Windisch, Chief Accounting Officer of Ramaco Resources. Sir, you may begin.
Michael Windisch: Thank you, Ashley. On behalf of Ramaco Resources, I would like to welcome all of you to our second quarter earnings conference call. With me this morning is Randy Atkins, our Executive Chairman and CFO; Mike Bauersachs, our President and CEO; and Chris Blanchard, our Chief Operating Officer. Before we start, I would like to share our normal cautionary statement regarding forward-looking statements. Certain statements discussed on today's call constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These forward-looking statements represent Ramaco's expectations or beliefs concerning future events, and it is possible that the results discussed will not be achieved. These forward-looking statements are subject to risks, uncertainties and other factors, many of which are outside of Ramaco's control, which could cause actual results to differ materially from the results discussed in these forward-looking statements. Any forward-looking statement speaks only as of the date on which it is made and except as required by law, Ramaco does not undertake any obligation to update or revise any forward-looking statement, whether as a result of new information, future events or otherwise. New factors emerge from time-to-time and it is not possible for Ramaco to predict all such factors. When considering these forward-looking statements, you should keep in mind the risk factors and other cautionary statements found in the company's filings with the Securities and Exchange Commission, including its Annual Report on Form 10-K and our Form 10-Q. The risk factors and other factors noted in the company's SEC filings could cause its actual results to differ materially from those contained in any forward-looking statements. With that said, I'd like to introduce Randy Atkins, our Chairman and CFO.
Randall Atkins: Thanks, Mike. First I want to thank everyone for joining us today for our call to discuss the second quarter results. To begin, last quarter we reported our first profit. This quarter we increased that profit by over 90%, indeed virtually every important financial and operating metric improved. And frankly first, I want to thank our miners and operation personnel for an impressive job this quarter. We obviously hope to continue this momentum into the balance of the year and we are optimistic that we are on track to have a very strong year. So let's start with some of the financial milestones that we released yesterday. Revenue for the quarter rose to $65 million. Our net income basically doubled from roughly $5 million to $10 million, and that translated to a jump in net earnings per share from $0.13 to $0.25 per share. Quarterly adjusted EBITDA also grew substantially from about $9 million to almost $15 million, which gives us roughly $24 million of total EBITDA for the year. There is still however, very much room for improvement. Looking back, we probably could have done better with our rail lines, frankly and especially with Norfolk Southern, which is not - which has continue do not deliver reliable and consistent rail performance we expect. This non-performance has negatively impacted our revenues, especially at our purchased coal operations at Knox Creek. This quarter we also encountered some unexpected geological issues, this time getting a sandstone fault at our Berwind mine, which I am going to let Mike Bauersachs discuss more in depth in a moment. Operationally however, each of our mines at Elk Creek are now performing extremely well. We have now brought our costs back in line with our original guidance for the year. As you recall we had guided to 2018 costs in the high 50s to low 60s. This quarter our cash mining cost dropped to roughly $66 from almost $65 last quarter. This brings our six month average down below $60 per ton, which is obviously where we would like it to stay. On sales and marketing updates, with the exception of maybe a test shipment or two, we are basically now sold out through the year at roughly 2.2 million overall tons. This breaks down to roughly 1.8 million tons of company mined coal and 460,000 tons of our purchased coal, sold through our operations at Knox Creek. Let me break this down. As we have said before 1.1 million domestic tons were committed in 2017, at an average price of roughly $78. The balance of our remaining 700,000 company tons for '18 were sold for export. 450,000 of these export tons were sold at an average price of $108 FOB mine and an additional 260,000 tons are yet to delivered but had been priced against index. On about 500,000 tons of sales for this quarter, we averaged about $91 of revenue per ton on company produced coal, about the same as the first quarter. Through some strong cash management which I alluded to we improved to about $36 per ton cash margin up about a third from last quarter's $27 per ton margin. And on 127,000 tons of purchase coal, we averaged revenue of slightly more than $101 per ton and we're basically flat on margin due in large measure to negative rail service. We have also now initiated discussions on 2019 domestic sales with several of our existing customers. They have come to market slightly ahead of last year. At this point we have not printed any business but we are optimistic that the potential 2019 domestic sales figures certainly for us will be much stronger than in 2018. I would note that the forward price curve is now about $175 per ton in 2019 versus about $130 per ton in the fall of last year. Even at the forward curve, after 2020 is now roughly $170 per ton. It is too early now to meaningfully address the sale split between our domestic and export business for 2019. However I would concur with remarks from some other public met producers that the domestic steel groups will need to compete more aggressively on price for the 2019 business, against what we feel will be continuing, attractive export opportunities. Ramaco will no longer be selling as a first time producer into the 2019 domestic market. This year we will sell to those markets which can deliver the best value to our shareholders. We are hoping for some strong pricing obviously in 2019, based on a combination of a better overall market, as well as the fact that we now have successfully demonstrated that our coal worked well in most of the important domestic as well as foreign steel mills. To talk a little bit about capital, we have spent about $28 million thus far on capital expenditures which have been primarily development CapEx. We have guided and we hope to end the year with a roughly about $34 million of maintenance and growth CapEx with an additional $5 million in capitalized development costs. We will be discussing with our board over the next few months where we want to plan our 2019 spending and at what levels. We're also hopeful that we will continue to generate some meaningful cash flow over that period and we'll be discussing in the coming months whether we direct that cash flow toward new production, cash distribution at some point to shareholders or some combination thereof. In terms of a forward view on the macro environment we continue to remain encouraged. We saw some weakness international benchmark pricing in the past month. But we also see some continued structural strength which we hope will lead to some price strengthening over the next several months. A few sand [ph] posts, we look, at I noted the forward benchmark of the current spot benchmark is only about $170 per ton but the 2019 forward curve is about $175. We are seeing domestic steel interest well in advance of the annual RFPs for 2018. Our guess is if they see the same structural conditions we do and are hoping to get in front of any price increases possibly, later this year. Met longwall performance was down 10% in Q2 from Q1 and 5% down year-over-year. We have seen reports of issues at least one longwall operation in cap which may have some forward supply repercussions. And speaking of supply we continue to see a noticeable lack of development CapEx for new production. In China we continue to see strong steel production with the first half of '18 up 6% year-over-year. Chinese rebar and steel margins are at year-to-date highs and we have also seen reports they have discussed a potential increase in infrastructure spending which may be an offset to tariff-related issues. All of the above leads us to harbor some optimism moving into 2019 and our challenge will be to continue to execute on the ground in 2018 for the balance of the year and maintain mine cost discipline. With that, I am now going to turn the floor over to Mike Bauersachs to provide a review of our operational performance for the quarter.
Michael Bauersachs: Thank you Randy. At the offset, I would like to thank all of our employees for their dedication and the pride they take in their everyday tasks. Without their efforts, we would not have had such a successful second quarter. We believe our second quarter results eliminate any questions about the quality and low-cost profile of our active operations. We have also confirmed that our infrastructure deployment at Elk Creek is fully operational and meeting expectations. The presentation includes an updated slide illustrating the continued advancement of our raw coal feed into the Elk Creek plant. While our feed rate dropped slightly in June, it's still exceeded our normalized rates. Production from our Elk Creek surface mine and associated highwall miner operation, where we previously reported production problems stabilized in the second quarter, and has become a predictable contributor to our sales volumes. The surface mine also exceeded our expectations relative to the percentage of coal that is sold as meteorological. While it will produce lower volumes than we originally projected we are increasingly confident that the surface mine will be a long term contributor to our overall sales mix. As we continue to work on revised mining plans, we are optimistic that we could see some increase from current production levels, which are have presently projected at approximately 275,000 tons for 2018. We hope to provide updated guidance during next quarter's conference call. All of our deep mines at Elk Creek operated at high levels of productivity in the second quarter. This included our new number 2 gas mine which had its first full quarter of production. The qualities that we are experiencing at this mine are net positive for our overall coal blends. During the second quarter, this mine operated at nearly the same high productivity levels as our other Elk Creek mines, which have been among the most productive meteorological deep mines in the nation. We've included a slide that illustrates the continued ramp up of our Elk Creek mines. The second quarter also illustrated how much more efficient our onsite logistics are when we are operating in better conditions. Going forward, we have taken actions to reduce the impacts of poor weather. The upgrade of our main haul road at Elk Creek is nearly complete. By paving it we will dramatically mitigate weather related issues during winter months and periods of wet weather. We also look forward to enjoying reduced trucking and maintenance costs as a byproduct of this expenditure. Our employees will also enjoy better year around travel conditions. Given the foregoing, we are extremely optimistic about our Elk Creek operations. Turning to our Berwind mine, you will recall that our low volatile mine is operating in development mode and is projected to advance in the Pocahontas number 3 Seam to a point where we intend to drive a slow up into the more prolific Pocahontas number 4 Seam. We successfully worked our way through old mine works which I reported on last quarter. After we transitioned mining into solid coal, we had a sandstone fault across the entire mining section. We have since relocated the active section in our mining and other areas of the mine. Since this move, our mining has been productive and we anticipate increased volumes quarter-over-quarter. Due to this continued mining there should not be a material change to our 2018 production projections at Berwind. Unfortunately the relocation of the mining section and our expected relocated mining route to reach the thicker Pocahontas number 4 Seam will delay the onset of accessing and mining the Pocahontas number 4 Seam. We are conducting additional core drilling to determine the extent of the sandstone fault areas. To date this drilling data has been positive. However drilling is ongoing on dense spacing for the entirety of our Pocahontas number 3 mains corridor. While are optimistic, based on core holes drilled so far, it is possible that the fault could be encountered. If this fault zone cannot be avoided all options remain on the table. This would include in the worst case, drilling and shooting our way through the fault zone. We should complete core drilling in the third quarter and anticipate being able to provide a more concrete update and plan forward during our third quarter conference call. While it is unlikely that we will repeat the record low cash costs our operations experienced during the second quarter, it is possible with the first 6 months behind us, we are more confident that our previously issued cost guidance of $58 to $61 per ton is achievable for 2018. We also believe that we will reach our previously issued full year production guidance of between 1.8 million and 2 million tons. Although at this point, we believe that it is more likely that we will hit the midpoint of that guidance. Relative to coal sales, we're basically sold out for the remainder of the year. We have provided 3 slides that illustrate domestic, export and purchased coal sales volumes for 2018. The only substantial addition we expect could be a test shipment or two of export coal likely to Asia. We look forward to entering the 2019 domestic coal sale season in the coming quarter. A number of customers have already sent out solicitations. This contracting season, we will no longer be limited by not being able to send test shipments to customers in advance as well as not having an operational preparation plant at Elk Creek. We enter these discussions being the incumbent supplier at 5 domestic customers as well as having proven that we can meet shipment schedules and quality commitments. Our marketing position is also enhanced by our ability to alternatively contract for international business. All of this now places us in a position to meet our full revenue potential in 2019. We anticipate placing our tons with those customers, who have appreciated our quality the most. This will likely reduce the number of domestic customers, but should maximize our revenues going forward. From a performance standpoint, one of the only negatives for the quarter is the negative variance in purchased coal profitability. The negative variance is due to a number of converging issues. All of our trading is currently conducted at our Knox Creek infrastructure, which is served by the Norfolk Southern Railway. Shipping problems and elevated demurrage prompted us to pursue domestic business at slightly lower prices to control stockpiles. Demurrage costs also lowered purchase coal margins in the second quarter. In concert with this issue, we also experienced poor recoveries and substantially reduced production from one of our suppliers. Reduced volumes from our Berwind mine during the quarter due to the issues mentioned previously, also caused us to include increased volumes of purchase coal on an important test shipment. With less of our higher quality Berwind coal in the blend, the lower quality purchase co-component was at a higher percentage and had to be washed at unfavorable gravities to achieve the required qualities, thereby reducing the number of sale tons. While our purchased coal operations remain profitable for the quarter. We anticipate that we will return to more normalized profit levels in the third and fourth quarter. In Israel performance continues to negatively impact our Knox Creek shipments, while CSX performance at Elk Creek has steadily improved. We continue to have frequent dialogue with both railroads about improved performance. At this point, as we review the number of vessels in wait times at Norfolk Southern, Lambert Point Port, it's more likely than not that their shipment problems will continue well into the fourth quarter. Fortunately, the majority of our high margin coals are shipped on the CSX. One of the questions typically asked especially during times where the industry is experiencing elevated pricing is about employee turnover. I can confirm that even with our favorable operating conditions, we are experiencing slightly elevated employee turnover levels. Exit interviews indicate that the majority of the voluntary terminations were related to reduced commute times or increased pay. At this point, we are able to continue to attract highly qualified miners to fill these vacancies. However, the labor markets have tightened considerably. We are continuing to closely monitor turnover levels and we will react if turnover places us in a position of losing significant numbers of key operating employees such that our productivity and production would be negatively impacted. I assume that most of you have noticed that we released earnings a week or so earlier than our historical timeframe. We are now seeing the benefits from the implementation of our new accounting reporting system. This system is not only made our external reporting more efficient and timely, it has also provided our operating personnel with more relevant and detailed information more quickly. We anticipate that the new system alongside our experienced accounting staff, will provide us with the opportunity to provide investors with more timely, reporting going forward. Our goal continues to be among the early reporters of earnings each quarter. Having now generally delivered on the first phase of our development in production, it is important to implement continues improvement throughout the company. Our financial software is just one example of the steps we are taking. As we review remaining capital projects, it now appears that we need to increase our capital spending projections to between $36 million to $40 million for the year. Most of the increase relates to timing changes, as oppose to committing to any new major capital expenditures. One of the capital items we've recently completed is the new office at Elk Creek. The office provides a place to collaborate our efforts and to host means for things like retraining and safety. We have also taken delivery of our mobile group support equipment, which enables additional mining beginning in September at our Eagle Mine. We are continuing to evaluate additional production, likely in the form of new deep mines at Elk Creek, development at [indiscernible] which I discussed briefly last quarter, remains at the top of the list, because it should enhance our overall quality. We look forward to discussing capital spending and corresponding production growth guidance for 2019, on our third quarter conference call. In summary, the second quarter of 2018 was a record for Ramaco Resources. Our Elk Creek deep mines were running on all cylinders with industry leading productivities. Additionally our surface mine has now become a more reliable contributor. While we are heading some geologic issues at our Berwind mine, it should not have a near term impact. With the second quarter behind us, I can sure you that we have no intention on our laurels. We are in constant improvement mode and are using all of the tools at our disposal to make the company even more profitable going forward. We expect our growth trend to continue into 2019, as we fully realize our revenue potential, especially in strong industry markets. Thank you for your attention, and I'll be glad to respond to questions after we completed our prepared remarks. Chris Blanchard our Chief Operating Office is also present and available to answer questions. I will now ask Mike Windisch to provide a summary of some of the accounting and financial metrics for the quarter.
Michael Windisch: Thank you, Mike. As Randy mentioned previously this quarter's performance into June 30, was financially solid for Ramaco Resources. During the three month period, we reported net income of $10.2 million or $0.25 per share and adjusted EBITDA of $14.9 million. Both represent significant increases both sequentially and year-over-year. For the first half of the year, net income totaled $15.5 million or $0.38 per share, and adjusted EBITDA was $24.2 million. Our performance was driven by increase production revenue, as well as our cash mining costs decreasing to levels we have previously guided to. Capital expenditures totaled $14.7 million during the quarter, and $27.5 million during the first half. We expect this pace to slow significantly in the back half of the year. We also recognized income tax expense of $642,000 this quarter and approximately $1.4 million for the six month period. This represents an effective tax rate of 8.5% which is our projection for the full year. Cash taxes are still anticipated to be less than $400,000 for 2018. During the quarter, we added $9 million in short term borrowings, to meet normal working capital requirements. This was comprised of a $6 million increase in borrowings from a third-party as well as a $3 million short term note from a related party. We are currently negotiating a larger ABL facility to help us manage working capital on a longer term basis, which is particularly impacted by higher priced export sales. With that, I would like to turn the call back over to Randy Atkins, for some closing remarks before we open the lines for Q&A.
Randall Atkins: Great, thanks Mike. As I said, I appreciate everyone being on the call now, and we would be delighted to field questions from anybody out there in the audience.
Operator: [Operator Instructions] Our first question comes from Michael Dudas of Vertical Research. Your line is open.
Michael Dudas: Good morning gentlemen.
Michael Bauersachs: Hey, Mike.
Randall Atkins: Hey, Mike.
Michael Dudas: Appreciate the updated, the quicker financials [ph] and the presentations, very helpful and look forward to more in the future. So first for Mike, looking at the, I think reminding us about your qualities of coal and some of the spreads that have been blowing out and moving about a bit for the domestic and potential international market, how that might play into your current customer mix and I can understand you want to be you know first movers either your first customer being quite important to you but how quality needs and the production shortfall, some of things that you've - you've indicated in the call could lead to better different markets for some of your coal you can blend and potentially sweeten up potential revenue and pricing as we move into 2019? Well, I think I think the great thing about our situation right now Mike is we've got lots of alternatives. This time last year, we had very few. And I think that I think that we very well could see more of our tons placed internationally. There was a pretty good - when you look at the numbers for year-end the domestic producers ended up being of course our largest buyers. But as we look at our quality mix I mean there are—of the five or so domestic customers they're probably three of the guys that really like our qualities a lot which is our strong suit really isn't A, B kind of coal kind of in the middle. And the important thing is to get the premium for being in the middle of the zone as opposed to selling for a high ball B coal. And in some cases this year we did sell as a highball B coal for some of the reasons we've discussed. So I think you'll see us sell, let's say plus/minus 50% domestically with the rest being going export. But also having our buyers appreciate our A, B, quality more. Even though we can ship an A coal, it's AB coal that we really want to make sure our customer's value the most, so.
Randall Atkins: I think, Mike - this is Randy. Also as we look at potential production into '19 our bias is probably going to be toward the As either to be able to sell that as a pure A or blended up in some of our existing coals so we've got a stronger AB or at least an A that we can elevate some of our existing plants for. So that's why we're optimistic on mean price index.
Michael Bauersachs: Well, Mike, one of the other things that changed and I've mentioned that our service mine really is a percentage of production has performed better as far as the number of tons that have gone metallurgical. And we really, after looking back at the first six months we really don't make a B coal. It's a better, it's a better quality coal than that so, anyway if that's helpful.
Michael Dudas: No, it is. Thank you for that. Second question is if you can elaborate a little more on the issues with the NS frustrating as they may be. Is there a sense of how much of an impact in Q2 and what you could see looking into the fourth quarter and any way to mitigate such issues as you're thinking about the '19 business and certainly in the blending and mixing front?
Randall Atkins: Yeah. I mean we do think that Norfolk Southern is going to get better, it is frustrating. We don't think that there is going to be much of an impact on us in the third and fourth quarters, because we found some alternate places to ship some of those tons. And just not that big impact really, when you look at our Berwind production and you look at our purchase coal. It - in essence what it causes us to do is to is to change the mix a little bit on where the coal goes. So we have entered into some domestic pieces of business that should have more reliable cycle times coming out of Knox Creek at pretty good margins by the way so.
Michael Bauersachs: And Mike, also looking forward needless to say when we ramp up Berwind that's going to be a Norfolk Southern customer. So that's frankly what we're hoping to get every issue resolved with the Norfolk Southern before we really get to that level of production it becomes a meaningful issue for us.
Michael Dudas: No, that makes sense. My final question is Mike or Chris, intrigued about your comment on labor and turnover maybe some metrics about how many you have, are you looking - are you short folks, or long folks and as this impact, we have seen in reasonable markets. Do you think it will be a limitation to your potential growth plans or more importantly other of your customers that your or the suppliers or vendors that you buy the purchased coal from or others that are competing with you in the marketplace. Is there something that you really nervous about or just keep a watch?
Michael Bauersachs: Mike, I am going to let Chris Blanchard tee that one up. Go ahead Chris.
Michael Dudas: Sure, good morning Chris.
Christopher Blanchard: Good morning, Mike. So, we still are running around 300 employees at our operations. The turnover levels have ticked up some. Some of that is sort of natural to the industry right after the miners' vacation period in July. But we are able to replace them with experienced miners and we're not running any of our mines shorthanded currently. The pool of available miners has contracted reasonably. You can tell in the number of applications that are turned down. But I would say we are only slightly nervous about it on a go forward basis, on the ability to staff the mines at Elk Creek. I think we still have an extremely desirable place for employees to work, given the total package of focus on safety and coal mines that you can stand up and walk around and that are productive and that, they are given everything they need to be productive, and save. So I think total package, we're okay and we just are reverting sort of back to the normal levels of turnover for the industry. At our Berwind operation, going forward, the labor pool in the McDowell county parts, southern part of West Virginia and Southwest part of Virginia is still pretty wide open and there is available labor there. The larger part of our ramp up will be there as we go forward.
Michael Dudas: Excellent, thank you gentlemen for your thoughts.
Michael Bauersachs: Thanks Mike.
Operator: Our next question comes from Jeremy Sussman of Clarkson. Your line is now open.
Jeremy Sussman: Good morning everyone.
Michael Bauersachs: Hey Jeremy.
Jeremy Sussman: So if I think about sort of the ramp I guess in Q1 you produced around 400,000 tons, this past quarter, close to 500,000 tons. So good to see the ramp, good to see the surface mine performing better. I guess as we think about kind of the back half for the year, anything we should take note of, only think about kind of production levels?
Michael Bauersachs: I'll let Christy.
Christopher Blanchard: Jeremy, this is Chris. The only real thing to keep in mind for Q3 and Q4, is Q3 has the one vacation period in July, which we have already gone through and then we have two vacation periods in Q4, which just three weeks cumulative of lower production. But aside from that, I mean we might see the numbers. If the numbers are flat in Q3 and Q4, it's actually showing a continued improvement over Q2, but we don't see anything big that should pull this down.
Jeremy Sussman: That's helpful, thanks Chris. And maybe switching gears I guess on the pricing front, it looks like you've continued to sign export met coal contracts, pretty much in line with market pricing, I think this past quarter and the 107 per ton range or so. Obviously that's well above kind of the legacy domestic contract. So I guess, how - as we head into 2019, how should we kind of think about the dynamic of export versus domestic, volume and pricing.
Michael Bauersachs: So Jeremy as I kind of touched on I think we haven't settled into a split between domestic and export for '19 yet, obviously there is factors that weigh on each side. We probably would have all things equal, perhaps better rail service and logistics on domestic business, than we would export. But we obviously have potentially better pricing on export than we would domestic. I think we'll get some clarity, probably within the next - certainly this quarter. But frankly probably within the next 30 to 60 days on where a lot of the domestic buyers are seeing the market. And I think we will be guided in part by what kind of pricing expectations we see. Obviously we continue to see a pretty market out there into 2019. I think they have jump the domestic guys have jumped in early this year. Because as I said, they don't want to get burned with a ramp up toward the fourth quarter and that's certainly conceivable, if you saw China perhaps jump in with some meaningful infrastructure spending. So you know, the jury's out on we going to split our '19 book.
Randall Atkins: I think as we at some at some of the processes that are ongoing and there is no doubt of more of the convergence in pricing. You know, real question is where does it all shake out but, I think from our perspective and where we priced coal this year for any number of reasons obviously, we should see appreciable increase in our domestic pricing. I can tell you whether that will equal sort of what these export numbers are today or not. But far closer to that than where we entered into business this year.
Christopher Blanchard: Or in '17 rather.
Randall Atkins: Yes.
Jeremy Sussman: Right, that's great color and it sounds good outlook for you. So thanks and good luck.
Michael Bauersachs: Thanks. Jeremy
Operator: Our next question comes from Lucas Pipes of B. Riley. Your line is open.
Lucas Pipes: Hey, good morning, gentleman and congrats on the quarter. I wanted to take another crack on the pricing side and kind if you had to sign - if you were signing domestic business today, where do you think that would roughly shake out? And putting that differently, I think you mentioned in your prepared remarks on the Q3 call, you'll be giving 2019 guidance. If you were putting the budget together for 2019 today on the pricing side, what sort of price would you plugin there? Would appreciate your thoughts. Thank you.
Michael Bauersachs: So Lucas, I can give you a definitive answer. The price would be higher. But that obviously, we don't want to try and sit there and with regards to the board and give you precise numbers. But I think, you all on the line obviously are very close to the markets and can understand where the prices seem to be right now. I think it's really going to be a question, frankly, more on the buy side. We're not going to sell tons in what we feel is not a fair value to our shareholder, just to have domestic business. So I think it's going to be a function of how aggressive the domestic steel groups will be in terms of their pricing for 2019.
Lucas Pipes: Got it.
Michael Bauersachs: I think too, it's just a totally different situation really for the entire industry. We've seen huge trends for coal being potentially sourced to Asia. On the call, I mentioned that we might send some test shipments that way. We're working on some more alternatives. And one thing is for sure, we'll not sell coal at the price we sell for this odd point 17 [ph] no, question. And I think that you'll see, a substantial change in the domestic pricing for us. It's difficult to talk about especially when the there is so many RFPs outstanding and we have got so many different discussions that are ongoing. So I think the right answers to say that it should be substantially better for us. May be a little it's different for others, but substantially better for us domestically.
Lucas Pipes: Thanks, that's very good hear and may be switching over to the operational side. Mike, or Chris, you are veterans of the industry seeing a lot of mines just getting developed over your careers. And I wondered if you could maybe elaborate on profitability of the worst case scenario at Berwind and maybe you could elaborate on what that worst case scenario would mean both in terms of capital cost as well as production delays. Thank you.
Michael Bauersachs: Yeah, I think I'll start by saying, it's all of the steps that we've taken and the things that we've done, I think so far are positive. I'm going to let Chris kind of jump in and chat a little bit about it. I describe generally what some of those things could be. But let's let Chris jump in, he is obviously been in the mine every week for the last remaining months and he knows what's going and he is in charge of the drilling program we've undertaken. So I will let him jump in and give you more details.
Christopher Blanchard: Yeah, Lucas, so the worst case scenario with Berwind is that their current drilling program that we are doing shows that the sandstone intrusion cuts off our alternate route to the Pocahontas 4. In that case then we've to - we have to back up and do the economics and determine whether we drive through the sandstone channel which at one location we know it's 800 feet horizontally through the channel. There may be some shorter places. But obviously that's in the several million dollar range to drive through a sandstone channel like that. And probably also several months of development work and delay. So that's the worst case. We've got, we've drilled nine holes thus far. I mean they're all relatively deep holes in sort of virgin territory to get to. So that takes a while to develop the sites and drill the holes. And we've got at least 5 more before we'll be able to be extremely confident that we in fact will not hit that sandstone channel. But with 9 of them drilled so far, everything has been as expected or favorable as far as Seam conditions encountered. So cautiously optimistic but until all the data in and of course we don't know for certain. Intermediate term, by having the pullback from the rock the first time Mike mentioned, we're delayed about six months in reaching the Pocahontas 4 Horizon, which pushes that from the end of '19 in to the beginning of '20. But at this point, as we sit here today that is the magnitude of the effect.
Michael Bauersachs: And Lucas just to reiterate what Chris said, when we look at this issue right now, it's really more of a Q3 or Q4 '19 issue, moving it out maybe at least 46 months. But it is not certainly anything that we're going have an impact on our earnings before that point in time.
Lucas Pipes: Got it. No, that's helpful. Maybe just one quick follow on that. If when would [indiscernible] end, so when would you complete the drilling program?
Michael Bauersachs: We should, - mean before the end of the third quarter, I would say probably unless we encounter some sort of issues in the field weather-related type issues sometime before the end of September.
Lucas Pipes: Okay. Well I'll leave it here and best of luck.
Michael Bauersachs: Thank you.
Operator: Our next question comes from Mark Levin of Seaport Global. Your line is open.
Mark Levin: Okay, great. Thank you very much. A couple of quick questions, one on the balance sheet. Looks like cash at the end of the quarter was about $5 million down from $7 million. I know there is a big receivable number. Maybe you can talk about how you expect the cash situation to trend, what's the optimal liquidity level for the company at this point? And yeah, just sort of how you see the balance sheet evolving and where the free cash goes.
Michael Bauersachs: Yeah, I think you've asked a couple of questions there Mark, and I'll queue it up and then perhaps let Mike Windisch also add some. So basically we're - the good and bad news is we have sold sufficiently that we've got a pretty good size book of receivables which we have previously kind of carried out of our own pocket. And we are now in the process of negotiating as Mike said, an ABL facility, which will essentially take that burden off of our own cash and put it basically into our receivable. So we expect to have that completed before the end of probably September. And at that point, we will basically just manage our - do our cash management from that. In terms of - on the optimal cash position, I would say for a company of our size, I would say we would be comfortable in keeping probably $10 million to $15 million cash balance, certainly that much availability. So I think that answers both the questions I heard unless there is another one.
Mark Levin: No, that's great. And then on the CapEx, I know you guys raised it again. And I think you raised it last quarter, you've raised it this quarter. Maybe just some color as to what you've seen over the last 6 months to cause you to raise the CapEx as you have. And then again thinking on to 2019, is this sort of the new run-rate we should think about for CapEx next year or there is more one off stuff this year?
Randall Atkins: We think - well we did some of our CapEx this year Mark, which we then have to capitalize some of the development cost. So that's probably bumped up this quarter a little bit from what we had expected before. Obviously we have been in development mode since we frankly got started back in late '16. So our heavy cash spend is really in the rear view mirror right now. As we look forward other than initiating some potentially new projects, it's pretty much going to be just finish up of some development CapEx as well as our normal maintenance CapEx and I think there's a slide that we put in the earnings deck here, which kind of gives you an idea, we see that the back half of this year dropping substantially from the front half. And then as I said, we'll sit down with the board as we do our 2019 planning and come up with an idea about where we want to spend in 2019, whether we want to put in some new mines, Mike alluded to the Ground Tunnel [ph] as being sort of one of the ones we're looking strongly and sort of see where we come out at that point for next year.
Christopher Blanchard: I'll note too Mark that, some of the things that we have done that we decided that we really needed to do, included plus/minus $4 million for this paved toll road. But I can tell you, having been on-site recently it's going to make a huge difference in the reliability and the velocity of our trucking and also costs. I mean you really can justify it very quickly on cost structure changes. So it's something we felt like we needed to do, because we don't want to repeat the first quarter. We want the rest of the quarters to look like this quarter. So if we would have…
Mark Levin: Yeah, that makes perfect sense. Let me shift, really quickly to the rails. You've called out Norfolk Southern service. I'm just curious like how rates have been trending maybe the rates you're paying in Q1 versus the rates you're paying in Q2 and what you expect to pay in Q3?
Michael Bauersachs: Yeah, I mean, we've had some fluctuation but it hasn't been huge. I mean it's been over the course of the first six months, maybe we've had $3 change or so in the rates. I mean, you know how it goes. If we could predict what the pricing will be, that comes down. It's going to come down a bit. But it's held within a pretty tight range. And frankly, as pricing has held within a pretty tight range. So it's always increased whenever you see the export numbers where they are.
Mark Levin: That makes sense now, and I realize it's tied to that. I was just curious if would expect maybe more specifically just given that prices have come down quarter-over-quarter, if you would see some relief on the rate side a little bit.
Michael Bauersachs: I mean if it continues to move downward from the 170 or so range, I mean, you'll have a couple dollars in relief.
Mark Levin: Okay, no, that's perfect. Mike. And then just a final question, I think going back to some previous ones about the domestic versus export. Realizing last year you guys were a new company and breaking into two new blends, maybe you took a bit of a discount to the prevailing market price. As you think about 2019 verses 2018, do you feel like you will have to be in or will be in that situation again? Or do you feel like having been in the blend for a year, people having a chance to sort of test burn and i.e., in terms of test burn use, use your coking coals that the pricing you guys will get will be very similar to sort of market based pricing.
Michael Bauersachs: Absolutely, Mark. I mean there's no question. So you can tell by the shipments we've done what we said we would do. The qualities have by and large than what we thought they would be and many cases to due to surface mine being better. We basically, look, some of this is having started up all these coal mines. We basically figured out we really don't have a B coal. It's either A or AB and I think going forward you'll see us price much more strongly and to our customer base domestically, which is really where the deficit has been this year.
Randall Atkins: And Mark, just to add to that, for maybe a statement of the obvious, but when we priced all of the domestic stuff in 2017, obviously we had some issues with test shipments deliveries, being able to watch our own coal, et cetera. That is all behind us. And so this year we will be starting fresh and pretty much on equal footing with any other producer.
Mark Levin: That's probably the best news. That's great to hear. And congratulations not only on that, but congratulations on what I think is your best quarter as a public company. Thanks, guys.
Michael Bauersachs: Thank you so much.
Randall Atkins: Appreciate that, Mark.
Operator: Our next question comes from Curt Woodworth of Credit Suisse. Your line is open.
Curt Woodworth: Thanks. Good morning, everyone.
Michael Bauersachs: Yeah. Hey, Curt.
Curt Woodworth: So on Berwind, just to clarify, assuming the sandstone issue is somewhat mitigated. Is the best case scenario the four-month delay, so instead of like a late 2019 ramp into Pocahontas number 4, you'd be more like 2Q then? And then if, if it is more of a serious issue then it'd be more like eight to nine month delay so like a late 2022, entry into number 4?
Michael Bauersachs: Yeah. I think that's, at least with the data we have right now that's a pretty good approximation. Four months in the best case and that's just because of driving around, around the channel and 4 months plus another four to six months, if we would have to go through the sandstone. But that's the 2Q of 20 - for the Pocahontas 4 sort of base case and 4Q or 1Q of '21 in worst case.
Christopher Blanchard: And Curt, as you are familiar from our ramp up production at Berwind, we weren't going to be into meaningful production at Berwind until we hit the 4. So when we are going through where we are now on the 3 seam, we had never predicted that to be more than couple of hundred thousand tons. So it's not going to bother anything in terms of our overall production slate until as I said probably later in '19.
Curt Woodworth: Okay. Understood, and then Mike for Elk Creek given that the surface high wall is operating better, the initial plan I think was contemplating, adding a second surface high wall unit and then Ground Tunnel wasn't really discussed. So is you are thinking now that you kind of want to do that in you are more serious about the Ground Tunnel and can you kind of talk about what a good production base could look like for Elk Creek in 2019?
Michael Bauersachs: Yeah. I think, we have a number of options that we're looking at they probably there two coal mines, deep mines that we are probably going towards putting in, depending on the circumstances. Ground tunnel I think is fairly high on the list. The problem is by the time you buy equipment, put development in, maybe you have an impact of 9,000 tons or so. The - as we look at next year though, I think what the lead times and those kinds of things, I think you should sort of think about it as plus/ minus 1.8 million to 2 million tons and then we'll see how the - we'll see how our planning goes. I think Elk Creek can ultimately buy itself 2.5 million tons. We push it hard enough. And I think we can, it's just going to take more deep mines to make up for the surface mine. I will tell you right now, I mean we think the surface mine has the potential to be better than 275,000 tons. We need to utilize the high ore mine more and I think we will going forward. So if one of the questions that we continue ask ourselves is do we need a little bit more equipment on the surface mine to continue open up, we offer the high wall miner so, we're looking at that. But I think roughly you could see us commit but two deep mines in, in the next six months or so, which will be a nice increase so.
Curt Woodworth: Okay. That's interesting. And then on tons you are selling on index, can you tell us what the index ASP was this quarter and then looking out to the back half of the year, can you give us any guidance on - looking at like say the East Coast Bax [ph] price for Highwall A what would be the appropriate discount to apply to that assuming like $30 rail or how should we model that?
Randall Atkins: Yeah. When we think about - we are basically selling two different coals internationally. One is kind of priced off a Highwall A index but it's a Highwall A index minus say 3%, 4%, 5%, maybe yeah, plus or minus 5%, I think. I think on the B side we are plus about that. So when you put them together what you say ratably it's 50-50 or so. So that's kind of how we are, how our qualities are priced. I think, in the future I think we can do better on the B side than we're doing now. You are pretty much right on the rail, when you look coal in the - coal in the both let's say we're - we're back at the mine and what we would realize let's just say it's $110 or so.
Curt Woodworth: Okay. That's it from me. Congrats on the great quarter. Appreciate it.
Michael Bauersachs: Thanks.
Operator: And we have a question from the line of Timothy Healy of Healy Group. Your line is open.
Timothy Healy: Good morning, gentlemen. I would like - I believe that's probably a political problem for you to answer. But the basic question here seems to be whether or not you've already have full support from Norfolk and Southern and your successful efforts here to develop this business. Seems to me looking at the Norfolk and Southern ten year stock picture, that they're dining out on their business. And I'm just concerned that because you're the new kid on the block, so to say, whether or not Norfolk and Southern is going to have - be able to provide those Gondolos to move you product. Because you can produce it but will it get to Norfolk? Thank you.
Michael Bauersachs: It's a good question. But one I think is going to be fine. I mean really we've been a fairly minor player to be honest up to this point which you can see in the production. As our production becomes more meaningful, I know that we will get more attention. We're the really one of the only guys on the - in that are increasing production or plan to increase production substantially. And when you become more or less plus/minus 1 million tons supplier if it's a big it's a big difference from where we are today. Having had lots of discussion with NS, I do know that they've leased equipment, they've brought on crews. We know how hard it is to hire people in that part of the country. And in their defense where they missed it in my opinion, is they underestimated the amount of steam coal that they're shipping on their rail line and exporting as a percentage of their overall shipments and it remains much bigger question mark, whether steam coal will continue at the trends they're at today versus what's been more a traditional heavy met shipment. So I think we're going to be okay, but we continue to push them to improve. Again once we're more meaningful I think it will absolutely get better.
Timothy Healy: Thank you. I hope they continue to take your phone calls.
Michael Bauersachs: Yeah, me too. We're persistent.
Operator: And I'm showing no further questions at this time. I'd like to turn the call back over for any closing remarks.
Michael Bauersachs: As always, we very much appreciate everybody being on the line. We're looking forward to another good quarter ahead as well as the balance of the year. And we will keep everyone posted. Thank you so much. Thanks.
Operator: Ladies and gentlemen thank you for participating in today's conference. This does conclude the program and you may all disconnect. Everyone have a great day.